Operator: Please continue to hold. Please continue to hold, ladies and gentlemen. Ladies and gentlemen, thank you for your patience. This call will begin shortly. Once again, thank you for your patience, and this call will begin shortly. Greetings. Welcome to the Blink Charging Co. fourth quarter 2024 earnings call. At this time, all participants are in a listen-only mode. A question and answer session will follow the formal presentation. I will now turn the conference over to your host, you may begin. Vitalie Stelea, VP of Capital Markets and FPNA.
Vitalie Stelea: Thank you, John, and welcome to Blink Charging Co.'s fourth quarter 2024 earnings call. Apologies for the slight delay due to technical difficulty. But with us today on the call, we have Michael Battaglia, President and Chief Executive Officer, and Michael Rama, Chief Financial Officer. Today's discussions will include non-GAAP references, which are reconciled to the most comparable US GAAP measures in the appendix of our earnings deck. You may find the deck along with the rest of our earnings materials and other important content on Blink Charging Co.'s investor relations website. Today's presentation may also include forward-looking statements about our expectations. Actual results may differ from those stated, and the most significant factors for those differences are included on page two of the fourth quarter 2024 earnings deck. Unless otherwise noted, all comparisons are year over year. And now regarding the investor relations calendar, Blink Charging Co. will be participating in the Roth Capital Investor Conference in Dana Point, California on the 17th of March. In addition, please follow our announcements on our website for other events in the future. And at this point, I will turn the call over to Michael Battaglia, President and CEO of Blink Charging Co. Go ahead, Mike.
Michael Battaglia: Alright. Great. Thanks, Vitalie. Good afternoon, everyone, and thank you for joining us today. As most of you know, I officially assumed the CEO role on February 1st after my tenure as COO. And so far, a month and a half into it, I am even more excited about where our company is headed in the future for Blink Charging Co. We are moving very fast as an organization to build a winning global EV infrastructure company. 2024 had its challenges, but we made solid progress on many fronts. For example, in 2024, Blink Charging Co. continued to significantly grow its service revenue, delivering record full-year results and increasing our footprint of Blink-owned chargers, which is the future of Blink Charging Co. With respect to hardware and product sales, we intensified our efforts to successfully develop alternative sales channels. And while there is still work to be done, we have established a solid foundation to build from. And as we relentlessly pursue profitability, we initiated a variety of cost reduction actions that resulted in significant savings in operating expenses and lower cash consumption. So with that, please turn to slides four and five. Our fourth quarter 2024 consolidated revenue was $30 million, a sequential increase of 20% when compared to the third quarter of 2024. Service revenues grew 24% in the quarter to $9.8 million compared to the fourth quarter of 2023, and network fees increased 9% to $2.4 million year over year. During the quarter, we dispersed 42.5 gigawatt hours of energy across all Blink Charging Co. networks, a year-over-year increase of over 100% and a new Blink Charging Co. record. For the full year, our total revenues were $126 million. We had mentioned last quarter, and I want to note again, that 2024 product sales were faced with a challenging comp as we had significant DC fast charger sales to auto dealerships in 2023. However, throughout 2024, we focused on other sales verticals, such as large electrical distributors, multifamily properties, commercial fleets, local and state governments, offices, hospitals, and schools, just to name a few, which provide Blink Charging Co. with profitable and sustainable revenue. Service revenue for the year was $35 million, also a Blink Charging Co. record, driven by increased utilization, a greater number of Blink-owned chargers in the field, and an increasing mix of DC fast chargers, which is another key focus area for us. Gross margin for the full year was 32%, and we continue to have confidence in our margin profile going forward. Before I move to the next slide to discuss the growth of our service revenues, I want to spend a minute on current market conditions surrounding electric vehicles and charge. Electric vehicles are seeing strong demand from consumers as Cox Automotive reported that new electric vehicle sales in the month of January 2025 were up nearly 30% compared to January 2024. In fact, January 2025 marked the tenth consecutive month of more than 100,000 EVs sold in the United States. This was following the month of December where US EV sales reached the highest level ever. As the market matures, we are confident that the proliferation of lower-cost EVs and used secondhand EVs that are entering the market will continue to drive the wider transition to electric vehicles in both the mid and long term. In addition to the increase in new electric vehicles on the road, another major factor that is driving demand for charging services are used EVs. Cox Automotive reported that used EV sales grew by nearly 31% year over year in January 2025. These sales results for both new and used electric vehicles are encouraging as they form the foundation of EV charging demand. Another point that is important to address is the recent tariff announcements and their effect on Blink Charging Co. In short, we do not expect tariffs to be a significant burden on our gross margin as we primarily source components and third-party finished goods within the United States and from India, where our two production facilities are located. But this is obviously a moving target, so we need to continue to monitor political developments and market conditions and will adjust accordingly. So with that, let's move to slide six, which ties into what we just discussed. Blink Charging Co. ended 2024 with 6,867 company-owned chargers, which is a 33% increase compared to 2023 year-end. These chargers were the primary reason driving Blink Charging Co.'s 2024 service revenue to nearly a 32% increase year over year to almost $35 million. We saw record charging revenue, which grew 37% to $21.4 million. This impressive growth is due to the increased number of Blink Charging Co.-owned units, better site selection, and inclusion of more DC fast chargers into our portfolio. Again, this is the future of Blink Charging Co., and it's a bright spot. As we have highlighted, we are increasingly focused on growing our DC fast charger Blink Charging Co.-owned portfolio. In fact, revenue from our DC Blink Charging Co.-owned chargers went up nearly 500% in 2024 when compared with 2023. This focus is evident in our recent announcements, such as our agreement with World Farms, a mid-Atlantic regional fueling and convenience store chain, where Blink Charging Co. owns and operates 76 DC fast charging ports. This exemplifies the type of partnerships and revenue growth that will drive our focus into the future. Looking at Slide eight, Blink Charging Co. has the third largest EV charging network in the United States according to the US Department of Energy. Our scale is important, especially now as we see industry consolidation in both the US and European charging industries. This consolidation represents an attractive growth opportunity for Blink Charging Co., either through organic benefits or through acquiring assets. Across the pond in Europe, we are one of the leading providers of charging services with significant operations in the United Kingdom and Belgium. This is a corporate strength as our operations there provide revenue and profitability diversification, especially with a consistent transition to electrified transportation across the continent. In the UK, for example, almost one out of five vehicles sold in 2024 were electric, and the used electric vehicle market saw a 57% increase in sales. Similarly, in Belgium, 2024 was a record-breaking year for EV sales, where electric vehicles made up nearly 30% of new car sales resulting in a 36% increase in registrations. The growing adoption of EVs was primarily driven by corporate fleets, which accounted for nearly 87% of new fully electric registrations in 2024. And we continue to make progress enhancing the capabilities of our global network. We are nearly complete with the consolidation of our European software networks into our global Blink Charging Co. 2.0 network, which will provide operational and cost efficiencies. We are also taking actions to improve network throughput. For example, we replaced a number of legacy DC and L2 chargers this past quarter with more advanced equipment. This action will not only improve the customer experience but will also lead to increased charging revenues. And now before I turn it over to Michael Rama, I wanted to emphasize the progress that Blink Charging Co. made in 2024 in reducing our cash burn and operating expenses. Through cost avoidance and optimization actions, total operating expenses, as adjusted for non-cash items, were reduced by 24% in 2024. Sequentially, our Q4 operating expenses were down 17% when compared with Q3 of 2024. This was primarily driven by a $4.3 million or 28% reduction in compensation expense. Compensation expense for the full year 2024 was reduced by 37% compared to the prior year. And most importantly, our cash burn was reduced by 51% in 2024. On a quarterly basis, we reduced operating cash burn from $18 million per quarter at the close of 2023 to $9 million per quarter at the end of 2024. We reduced our cash burn by half, and we are definitely not done yet. I will come back at the end of the presentation with more details about some of the current actions we are taking to position Blink Charging Co. for profitability and long-term success. But for now, I will turn the presentation over to our CFO, Michael Rama. Michael?
Michael Rama: Thank you, Mike, and good afternoon, everyone. Now turning to slide eleven. Our Q4 2024 revenues were $30.2 million. Total revenues for 2024 were $126.2 million compared to $140.6 million for the full year 2023. Product revenues for the fourth quarter were $17.2 million and $81.7 million for the full year. Fourth quarter service revenues, which consist of charging service revenues, network fees, and car sharing revenues, were $9.8 million, an increase of 24% compared to the fourth quarter of 2023. Full-year 2024 service revenues were $34.8 million, representing a year-over-year growth of 31.8%. Gross profit was $7.5 million or 25% of revenues compared to a gross profit of $10.6 million or 25% of revenues in the fourth quarter of 2023. Q4 gross profit was impacted by an asset adjustment of $2.9 million, which was primarily related to product upgrades as Mike mentioned earlier. Without the impact of this charge, gross margins would have been over 35% in the fourth quarter of 2024. Full-year 2024 gross profit was $40.8 million or 32% of revenues, compared to a gross profit of $40.2 million or 29% in the full year of 2023. Excluding the impact of asset adjustments related to product upgrades, full-year 2024 gross margins would have been 35%. Operating expenses, excluding non-cash impairment and change in fair value charges, decreased 21% to $23.1 million compared to $29.5 million in the fourth quarter of 2023. Sequentially, operating expenses decreased by $4.7 million or 17% compared to Q3 of 2024, primarily driven by decreased compensation expense. Full-year 2024 operating expenses, also adjusted for non-cash impairment and changes in fair value charges, decreased by $35 million or 24% to $111 million compared to $145 million in the prior year. Loss per share for the fourth quarter was $0.73 per share compared to $0.28 in the prior year period. For the full year 2024, loss per share was $8.6 compared to $2.3 in the prior year. Adjusted loss per share for the fourth quarter improved to $0.15 compared to $0.28 in the fourth quarter of 2023. Adjusted loss per share for the full year 2024 improved to $0.61 compared to $1.42 for the full year of 2023. Now adjusting EBITDA for the fourth quarter of 2024 was a loss of $10.6 million compared to a loss of $14 million in the prior year, an improvement of 25% year over year. Adjusted EBITDA for the full year of 2024 was a loss of $49.5 million compared to an EBITDA loss of $87 million in 2023. This is an improvement of 13% year over year. As of December 31st, 2024, the company had cash liquidity of $55 million, which includes liquid marketable securities and no cash debt. As for our outlook, based on current visibility, Blink Charging Co. believes service revenues will continue to increase throughout 2025. We expect product revenue in the first half of 2025 to be similar to product revenue levels in the back half of 2024 and anticipate product revenues to improve during the second half of 2025. We had provided an adjusted EBITDA target on previous calls. However, given the current macro dynamics, we expect to have better visibility around our timeline to reach adjusted EBITDA profitability as the year progresses and will update you accordingly. As a company, we remain focused on continuing to grow revenues while reducing operating expenses and cash burn in order to drive towards profitability. I will now turn the call back over to Mike for his final commentary. Go ahead, Mike.
Michael Battaglia: Great. Thank you, Michael. As we move through 2025, our industry is experiencing a challenging landscape, and we are focused on embracing operational strategies that will position Blink Charging Co. to effectively navigate the near term with a focus on driving long-term growth. With that in mind, we are introducing Blink Forward, our strategic focus for sustained success. First and foremost, our plan is focused on promoting our relentless pursuit of profitability with a sharp focus on reducing operating expenses. We have reduced cash burn by 51% in 2024, compensation expenses by 37%, and total adjusted operating expenses by 24%. However, there is more to be done, and we are looking at every business department and cost center to ensure a path to profitability. The first pillar in Blink Forward is to continue our commitment to offer flexible customer-centric business models. We will focus on being a constructive partner, understanding customer pain points, and providing solutions, whether it's through our reliable equipment and network or software that controls energy management. Next, we have been shifting to and will continue to expedite the growth of our portfolio of Blink Charging Co.-owned DC fast chargers in attractive locations. And as mentioned earlier, owning and operating charging assets is the future of Blink Charging Co., especially as we get the benefit of significant charging demand growth in Europe and the US. Third, we are prioritizing services and recurring revenue streams as we invest in future growth. For example, our network fees were $8.7 million in 2024 and generated a 72% gross margin. This is the type of revenue we will pursue going forward. Fourth, we are attuned to opportunities to capitalize on the market consolidation that is happening across the industry. This consolidation could benefit Blink Charging Co. through market share gains or consolidating assets into the Blink Charging Co. network. And finally, we are looking to preserve cash, optimize operations where needed, to secure low-cost, preferably non-dilutive capital to support our growth strategy. We have internally introduced these strategic priorities and have already begun executing on them. We look at the current industry landscape as an opportunity to demonstrate our resilience and to position Blink Charging Co. to be the best well-run charging company in the industry. As I mentioned at the start of this call, 2024 was a challenging year. However, it has also been a rewarding year in terms of progress. It has made us a better company, and we are implementing steps for Blink Charging Co. to achieve profitability and free cash flow. I would like to thank the Blink Charging Co. team for their efforts, and we look forward to keeping you updated as we move forward. So with this, let's move on to Q&A. Operator?
Operator: Thank you. At this time, we will be conducting a question and answer session. You may press star two if you'd like to remove your question from the queue. One moment, please, while we poll for questions or a comment. Our first question comes from Sameer Joshi with H.C. Wainwright. Please proceed.
Sameer Joshi: Hey. Good afternoon, Mike. Michael. Mike, congratulations on your first full call as CEO. Just a few questions from me, a couple actually. In terms of the 2025 outlook that was provided, how do you see the product sales visibility beyond the next six months? And also, should we expect sort of year-over-year growth in product sales or rather revenue sales to be offset by some shortfall in product sales and a flat year overall?
Michael Battaglia: Yeah. So for the question. I certainly expected that. So first of all, you know, as we indicated in the comments, the bright spot in the future of Blink Charging Co. is as a CPO owner-operator. Our business is expanding there. We're very encouraged. And, you know, one of the things to point out is while my comments were, you know, I mentioned DC fast charging quite a bit. That's not to the detriment or exclusion of L2. Blink Charging Co. has always been an L2 company, and we're an L2 company at our core. But we're going to balance out the mix. Secondly, when it comes to product sales, this is actually a great opportunity for me to brag about Chris Carr, who is our new Senior Vice President of Sales and Business Development. So we were very lucky to land Chris. He was brought in to do some very specific things. His job is certainly to grow the owner-operator side of the business, but it's also to take advantage of the product sales opportunities in the market. So he has already put plans in place. He has shifted resources around to optimize the skill set of our salespeople. So some salespeople are better at selling products, some salespeople are better at the owner-operator side of the business. So we've already put that in place. So from a product sales perspective, we are actually quite optimistic about the second half of the year. It's just that Chris has just gotten on board in the first half is, I would say, a little bit cloudy. But we're hoping to have better visibility and guidance on that topic as we go forward.
Sameer Joshi: Understood. Shifting gears a little bit and talking about your efforts to capitalize on market consolidation because historically being an acquisitive company, do you have targets, especially in Europe and maybe South America, America, or other parts of the world that you're considering and are in the pipeline for as acquisition candidates?
Michael Battaglia: So the short answer is yes. The longer answer is we have companies under consideration that we're looking at. There's nothing solidified, but there are some very interesting opportunities that are presenting themselves in the market. We have the luxury of being able to be very selective. We've been approached by a number of companies, but we're certainly very, very focused on making sure that if we go down this road, they are absolutely the right companies, the right assets, the right fit for Blink Charging Co., and quite frankly, that we don't overpay because there's no reason to overpay in this market for assets that perhaps are struggling a bit.
Sameer Joshi: Understood. And then just maybe one last one I can squeeze in. Do you have a timeline on the Envoy IPO, and how is that process going?
Michael Battaglia: Yeah. So, obviously, we publicly announced our intention to IPO Envoy. We continue to work towards an IPO in the spring. All I can tell you is from an administrative standpoint, etcetera, we're on track. But, you know, more to come on that.
Sameer Joshi: Understood. Thanks for taking my questions, and good luck.
Michael Battaglia: Yep. Thanks, Sameer.
Operator: Up next is Chris Pierce with Needham. Please proceed.
Chris Pierce: Hey. Good afternoon. I just was curious as you shift more towards owner-operator, you know, I guess, if we see some sort of change in regulatory or administration, like and product sales sort of becomes more of a, you know, when she grows there, would you shift back to product sales? Or I know you guys have sort of had a multi-strategy approach. I just kinda wanna get a sense of if this is fully pulling the Band-Aid off or if this is just reacting to what's going on in the market right now.
Michael Battaglia: No. I mean, I don't know that we are reacting in any way, shape, or form to what I'll call, you know, short-term dynamics. Right? It's maybe the best way to put it. You know, we have always said that what Blink Charging Co. wants to be in the long term is an owner-operator of charging assets. And that so that's never changed. Perhaps you're hearing the message a little bit more sharply, maybe a little bit more well-defined, but our intention is to accelerate the growth of the owner-operator business. But certainly not give up on the product side by any stretch. I mean, the product side is still a strength for us. And as I've said in previous calls, we want to serve the whole market. There are a set of customers that all they want to do is buy products. And we want to be there to sell them that product. But there is another set of customers that they are interested in having somebody else manage those charging assets at their locations. And we want to be there for that. I would simply delineate it as we're expressing the strategy perhaps more clearly and also introducing a bit more emphasis on DC fast chargers.
Chris Pierce: Okay. And then just for the other, Michael, how should we think about, you know, margins through the year as you lean more into the owner-operator model? And you lean more into DC fast charging and the owner-operator model.
Michael Rama: No. I think, you know, we'll still obviously, we didn't give any guidance on margins. Right? I haven't given any guidance, but I'd still think that, you know, as you've seen over the past even this year, even for 2024, as our product sales were down, our margins overall are still up. Right? So what that shows is the strength in the owner and operate side with margins, as well as being more efficient with our product. So I, you know, expectation is we would don't see much impact on the overall product mix.
Chris Pierce: Okay. Thank you, and good luck.
Operator: The next question comes from Craig Irwin with Roth Capital Partners. Please proceed.
Craig Irwin: Good evening. Thanks for taking my questions. So 33% growth in Blink Charging Co.-owned chargers, but a 112% growth in gigawatt hours of throughput. So you're obviously seeing nice improvements in overall utilization across the network. Are we already seeing tailwinds from you guys putting out some of the Tesla and Max connectors out there given that's two-thirds of the fleet? Or is that something that can maybe help you with utilization on the Blink Charging Co. network over the next number of quarters as you start deploying those?
Michael Battaglia: Yeah. It's the latter, Craig. So we haven't deployed that many NACS connectors yet. But, you know, certainly, that's the focus going forward. So I would say that, you know, to the degree to which we'll see an uplift on native Mac connectors on the chargers, we really haven't even seen that yet.
Craig Irwin: Wow. Okay. That's good to hear. That's good to hear. So then I guess, EBITDA is the easiest metric for us. As we track your cost-out progress, you know, it was a really nice sequential improvement. And, you know, your frictional costs, right, your salaries, S&A, etcetera, are obviously coming down fairly significantly. Can you help us maybe get a little bit more quantitative or give us some color about how this is likely to take shape in 2025? Do we see dramatic, you know, 50% reduction in salary comp again? You know, how much more is there room to squeeze these different line items? And, you know, any other information you can share with us to help us understand the path to positive EBITDA?
Michael Battaglia: Yeah. Yeah. Certainly expected this question, Craig, and, you know, thanks for asking it. So let me start by saying in this industry, there has been a lot of talk about getting to EBITDA positive. And getting to free cash flow positivity. And there's been a lot of talk, and there hasn't been a lot of delivery. So as I get into this role, one of the things that I want to do is if we're gonna come out and put a number out or a day out as to when we're gonna get there, I want to be damn sure we get there. So we need two things to happen. We need the top line to grow more aggressively than it's growing today. And then secondly, we need to take additional cost out of the business. So what is the magnitude of that cost? I'm not gonna put a number on it. But what I would say is that it's not just people. You know, we're evaluating every aspect of our cost structure. Our team globally is engaged in that exercise. And when you start to get momentum with people throughout the organization, digging for and raising cost reduction actions, it becomes a bit infectious. So we're starting to see that happen. So, you know, will compensation expense come down a bit? Yeah. It probably will. Hopefully, mostly through attrition. But there's gonna be some other costs outside of comp that come down as well.
Craig Irwin: That definitely makes sense. So then gross margins in 2024, your product revenue contracted. But you had pretty nice margin expansion there. I know there's been a lot of moves to sort of go to a more efficient footprint, the more efficient manufacturing and your expanded facility in Bowie. But is there, you know, if we take a cautious view on just moderate growth in product sales in 2025, is there room for these actions that you've taken to continue to contribute to positive margin, potential margin expansion even in 2025? Or have the sort of, I guess, this last quarter, is that more of a starting point for us to see progress from as we move through the year?
Michael Battaglia: Yeah. So I think where you would see margin potential, I mean, use that word potential margin expansion, is on the owner-operator side where we have more control over fees. So think about, you know, credit card transaction fees and session fees and price per kilowatt hour and things like that. So we're starting to analyze that data in a much more sophisticated way than we ever have. So think about perhaps, like, dynamic pricing based on demand throughout the day. On the product side, we're focused on, quite frankly, doing a better job managing our inventory. So our ambition is to turn our inventory at a greater rate. It is to manage the working capital associated with inventory more efficiently. And so, you know, we need to strike, you know, I mean, Craig, you know, I came up with a sales organization, and you know, you always need to strike that balance between moving volume and margin. And I would say that we're still playing with that a little bit. But I expect that product margin to be, you know, pretty consistent with where it has been.
Craig Irwin: And then I guess this might be a multipart question, but business mix has kinda been in your favor the last years. Right? Level two never faced the big structural headwinds of, you know, the confusion around the NEVI money, and some of the things going on in the states. You guys always did really well with corporate customers, I guess, like Starbucks, and I guess I can say that because I've seen it outside. You're charged with outside so many different Starbucks as I've stopped for coffee. But, you know, you've focused on things like New York State, the direct buy there where you go, you know, you don't have the uncertainty of federal money. It seems like maybe business mix can be a little bit favorable or continue to be a little bit favorable to you, particularly on level two versus level three. Are you optimistic for some of these tailwinds that have worked for you for a longer-term perspective, specifically the state support, to keep helping you in 2025? And, you know, do you think that this can help deliver product growth in 2025? I guess is the big question investors have in their heads?
Michael Battaglia: Yes. So we're fortunate to have several state contracts where, you know, we're a named supplier on those contracts. One great example is Maryland. You know, another is New York. So, yes. I mean, we expect to do more on those state contracts. But, you know, we also expect to do more in Europe. And I think that that is also, you know, perhaps a little bit of an underdog or stealth area for us in 2025. We have some really interesting things happening in Europe. And, you know, one example is the UK's version of NEVI, and I'm not making this up, is the program called LEVI, L-E-V-I. And there's 340-odd million pounds committed to that program from the UK government. And we feel well-positioned. In fact, we just recently had a press release on one opportunity, which you can take a look at. So, you know, there's that. We're also seeing some very large owner-operator opportunities in Belgium. So, you know, it's really, I want investors to think about the fact that Blink Charging Co. is diversified and that this company is not just dependent on the United States or even one segment in the United States. We can pivot to, you know, to different markets.
Craig Irwin: I just wanted the last question, if I may, I guess, is a balance sheet question. But it appears to me that you got both basically, you know, $15 million in cash by squeezing receivables and inventory this last year. How much room is there to go? I mean, can you guys continue to squeeze working capital and make improvement on payment terms, you know, with your customers and vendors? Is this really an opportunity for, you know, tailwinds on that 50% reduction in cash used last year?
Michael Rama: Yeah. I'll jump in on that. Yeah. I'll take that, Craig. Yes. And to quote Mike, the short answer is, yeah. No. We're still implementing measures to squeeze more cash out of our AR and our balance sheet. And as we mentioned earlier as well, is quicker turns on our inventory. So it's, you know, it's improving the working capital management, if you will, of our balance sheet and definitely use our balance sheet to our benefit.
Craig Irwin: Excellent. Well, congrats on the progress, guys. We'll follow closely.
Michael Battaglia: Thank you, Craig.
Operator: Once again, if you have a question or a comment, please press star one. The next question comes from Nikki Legg with Benchmark. Please proceed.
Nikki Legg: Hey, guys. Thanks for taking my questions. So you mentioned alternative customer channels. Just curious if you could unpack that a little bit, you know, how are these discussions going? And, you know, what are you hearing from customers? I know I mentioned you're not gonna have, you know, more visibility into product sales until later in the year, but I'm just curious if, you know, there is any bright spot among these channels, whether it be multifamily or commercial fleet or anything of that nature and, you know, longer term, just curious, you know, how big, you know, you think that business could grow or what it, you know, again, is the biggest opportunity there?
Michael Battaglia: Yeah. Hey, Nikki. Thanks for joining. I would say, you know, from talking to the sales team, we've made tremendous progress with electrical distributors. And the one thing that we really like about building that electrical distribution channel is that it's more efficient. So, you know, it's not just the Blink Charging Co. sales team. It's the Blink Charging Co. sales team interfacing with the electrical distributor who then has, you know, far broader reach. So we are spending and our reps are spending a lot of time and effort developing that electrical distribution channel. The second bright spot that I would say, and this is an area we've actually always been pretty good at, but I think we're getting even better, is in local municipalities. And there are a lot of local municipalities that are building out charging infrastructure. Again, they may do it for fleet, in which case they're purchasing the chargers or we're partnering with them on setting up infrastructure in their, you know, town, city, on an owner-operator basis or, you know, our hybrid model, which is that shared investment model. So I would say I'd probably give those two examples or are decent ones.
Nikki Legg: Got it. Got it. Alright. And then just a follow-up. It's been a lot of discussion about, you know, the focus on growing the owner-operator business and, you know, the shift to CPO. And I don't think that's, you know, too much of a surprise. And I think it definitely, you know, gives some good upside to the margins. But I'm just curious if you see any, you know, hurdles there as you grow that business. And, you know, if there's any change in focus based on geography, you know, are you more focused on growing that business in the EU as it's more mature and then taking some of what you learned over here? Just curious.
Michael Battaglia: Yeah. Good question. You know, it's really interesting what's going on in the market right now because there's so many headlines, especially in the US, that it's hard to decipher, you know, fact from fiction. So we tend to follow the data, which I think is the right approach. And the data says that there's a whole hell of a lot of activity in the electric vehicle market in the United States in addition to Europe. So this is not a choosing, this is not Blink Charging Co. having to choose between the US and Europe. This is Blink Charging Co. addressing both markets. So we're gonna continue to invest in the US because we know that electric vehicle growth is gonna continue. But to answer the first part of your question, you know, the challenge as you asked about the owner-operator model is capital. Right? It requires capital to deploy in order to move in that direction. So, you know, we are actively pursuing capital sources. Our focus is on non-dilutive capital and different types of capital. So not just one particular type, but there's, you know, whether it's using our balance sheet, whether it's project-based, whatever that might be. You know, obviously, of equity into Blink Charging Co., if, you know, there was more investment in terms and the share price was stronger, that would give us more flexibility. But for the moment, based on market conditions where our stock prices, etcetera, it's on the non-dilutive side.
Nikki Legg: Got it. Okay. Okay. That's helpful. And then one more, if I could just squeeze it in here. Touched on this a bit already, but could you just dig into a little bit more how you're protected from any, you know, regulatory changes and, you know, maybe tariffs related to the supply chain and everything we're hearing out there about that.
Michael Battaglia: Yeah. I would say, I don't know that anybody's protected. Should go that far. But what I would say is that, you know, we have a production facility here in Maryland. And so that allows us to shield ourselves a bit, let's say, from some of those tariffs and regulatory issues that come up. Because we can source, we have suppliers here in the US that we can source from. And we can build chargers here. But even in terms of our India production footprint, you know, it becomes a manufacturing unit's numbers game. In other words, yes, will we get hit with some tariffs on, let's say, steel and aluminum in our maybe if it's goods? Yes. But our cost base on those chargers is lower, so we can absorb it. And so perhaps that landed cost is, you know, really on par with, let's say, our US-based chargers. And we just have more finished goods coming in.
Nikki Legg: Okay. Okay. Got it. That's very helpful. That's all for me. Thanks, guys.
Operator: Okay. And the last question comes from Noel Parks with Tuohy Brothers. Please proceed.
Noel Parks: Hi. I just had a couple. I apologize if you touched on this and I missed it, but you had an impairment charge in the quarter. If you could just sort of dig down a little bit as to what was involved in that timing and so forth.
Michael Rama: Yeah. I'll jump in on that. You know, the fourth quarter in November is our annual, give it an annual impairment exercise you have to go through or if there's indicators on the off quarters, if you will, during, like, third quarter, second quarter, or first quarter, if there are indicators. We bought SemaConnect back, you know, two and a half years ago when the valuations are high. Our market cap has come down. You know? So this is just a byproduct of acquisitions from when valuation is much higher. So we had to write down that goodwill. Effectively.
Noel Parks: Got it. Okay. Thanks for the clarification.
Michael Rama: Remember, non-cash. So that's why I have a blank cash base. Right?
Noel Parks: Right. Absolutely. And, you know, you were talking a little bit on an earlier question about just different verticals and how the business is going, and you also talked about different channels like electrical distributors. I guess one market I was curious about is in what's been kind of fast and furious real estate market with interest rate environment the last couple of years. In some parts of the country where there's been a lot of population growth, there's also a lot of new construction that's been going on and coming online. And some of it some single-family subdivisions, I guess, some of it probably multifamily. I was just wondering as you see new projects, in this case residential being planned out, where do they come down in terms of wanting to satisfy their actual homeowner's EV charging needs? What's that been like?
Michael Battaglia: Yeah. So I'm gonna parse it just slightly. So I want to emphasize again, and we talk about this, is that Blink Charging Co. really doesn't have exposure to the pure residential EV charging market. Meaning, I have a single-family garage and I'm buying a charger on Amazon. So that's not us. What we do a big market for us is commercial multifamily. And so, yes, there's a lot of activity there. What you see is that more and more building codes are requiring stub-ups. Right? Make ready. For a certain percentage of parking spots within that parking lot. And so what that does is they may do the minimum. But that is actually an opportunity. It's actually a great opportunity. For Blink Charging Co. with our hybrid business model, our hybrid Blink Charging Co.-owned business model. So they've already built out the infrastructure. We come into properties like that. And we put the charger in at no cost. And then our return on investment is the utilization of that charger and the tenants, the residents of that apartment building paying for their charging sessions. And they get the benefit of basically having, you know, affectionately a gas station at home.
Noel Parks: Oh, terrific. That's interesting. And then have you been far enough along with any of those that you've seen your needs for upgrades or just rolling out an increased density of chargers in developments like that?
Michael Battaglia: Yeah. So, you know, I mean, one indicator of that is we have at Blink Charging Co., we have what's called an additional equipment request. And that is when a sales rep has an account and they have our Blink Charging Co.-owned chargers. And then this is very anecdotal, so I'm just gonna qualify, but this is anecdotal. But, hopefully, it clarifies where or answers what I'm talking about. And the number of requests that I've received in the last few months for additional equipment at already existing sites has definitely spiked. So we are starting to see properties add to the number of chargers that they have on-site. So I don't have a quantity. You know, I don't have a quantify, you know, I haven't quantified that yet, but again, anecdotally, I'm just signing more of those.
Noel Parks: Great. Good to hear. Thanks a lot.
Operator: We have reached the end of the question and answer session. I will now turn the call over to Vitalie Stelea for closing remarks.
Vitalie Stelea: Well, thank you all for joining us on the call today as we announced record service revenues and a strong GAAP gross margin of 32% for the full year. We also unveiled Blink Forward, a number of strategic actions that will enable Blink Charging Co. to achieve profitability and position the company as a leader in the charging industry both in the US and Europe. And at this time, we're gonna conclude the call, and we'll look forward to keeping you updated in the future. Thanks again.
Operator: This concludes today's conference, and you may disconnect your lines at this time. Thank you for your participation.